Operator: Good day, everyone, and welcome to the EVERTEC Incorporated Third Quarter 2014 Earnings Conference Call. As a reminder, today’s conference is being recorded. And at this time, I’d like to turn the conference over to Peter Harrington, President and Chief Executive Officer. Please go ahead, sir.
Peter Harrington: Thank you, operator. And thanks, everyone for joining us on today’s call. Before we begin, I wanted to take a moment and formally introduce Alan Cohen. Alan joined us in October as Executive Vice President and Head of Investor Relations. In addition to managing our IR department, he will also be leading our Enterprise Risk Management and Strategy Functions. Alan has nearly a decade of senior management experience in publicly traded companies. He was previously with Triple-S management and First Bancorp, serving in roles, which included Investor Relations, Communications, Marketing, and Planning functions. We believe he will be a great addition to the EVERTEC team. With that, I’ll turn the call over to Alan, who will walk you through today’s agenda and our Safe Harbor. Alan?
Alan Cohen: Thank you Peter, and good afternoon everyone. I’m very excited to be at EVERTEC and I look forward to getting to know each and every one of you in the very near future. Also with us on today’s call is Juan Jose Román, Executive Vice President, and Chief Financial Officer. In terms of the agenda for today, Peter will begin by providing a summary review of our financial results and market opportunity, as well as an update on our operations. Juan will then discuss additional details regarding our third quarter results as well as our guidance for 2014. We will end, as always, by taking your questions. A replay of this call will be available until Wednesday, November 12, 2014. Access information for the replay is listed in today’s financial press release, which is available on our website under the Investor Relations tab. As a reminder, this call may not be taped or otherwise reproduced without EVERTEC’s prior consent. I would like to remind everyone that this call may contain forward-looking statements as they are defined under the Private Securities Litigation Reform Act of 1995. These forward-looking statements about our expectations for future performance are subject to known and unknown risk and uncertainties. EVERTEC cautions that these statements are not guarantees of future performance. All forward-looking statements made today, reflect our current expectations only, and we undertake no obligation to update any statements to reflect the events that occur after this call. Please refer to the company’s most recent Annual Report on Form 10-K filed with the SEC for factors that could cause our actual results to differ materially from any forward-looking statements. During today’s call, management will provide certain information that will constitute non-GAAP financial measures under SEC rules, such as adjusted EBITDA, adjusted net income, and adjusted net income per share. Reconciliations to GAAP measures and certain additional information are also included in today’s earnings press release. With that, I’ll turn the call back over to Peter Harrington, our President and CEO. Peter?
Peter Harrington: Thanks Alan. We saw another quarter of further growth in our Merchant Acquiring and Payment Processing segments, while the business solutions segment continued to be affected by lower hardware and software sales. In the third quarter, total consolidated revenue grew 1% and adjusted net income per share grew 11% to $0.40 per share. Excluding hardware and software sales, our consolidated revenue growth was 4% year-over-year in the third quarter. Looking deeper into the segment starting with payments, Merchant Acquiring net revenue grew 6% year-over-year and Payment Processing grew 4%. During the quarter we witnessed an expected, and what we believe to be a temporary period of softer consumer spending in Puerto Rico, potentially driven by a weakening in consumer confidence. This may have been driven by concerns over uncertainties caused by the government actions such as new taxes to individuals and corporations, as well as the public discussion of a possible default by the Electric Power Authority PREPA, and the resulting impact on consumers. Concerns about PREPA have waned somewhat after the bondholder agreement was reached and the restructuring company was put into place. We believe these factors had an adverse impact on transactions and payment volume, particularly in August and September, which affected our revenue growth in the quarter. Within Puerto Rico our POS processing transactions were up approximately 5% year-over-year in the third quarter, compared to the 7% to 8% range we have seen in the first half of the year. As recently as October however, we are seeing some positive signs that consumer spending trends have started to improve. In the month, we’ve seen that a number of transactions are moving back towards where we saw them again in the first half. As a reminder, we process over 70% of all the card transactions on the island. So we believe our own transaction growth is a strong proxy for the Puerto Rican payments market as a whole. And while it is still very early, we are encouraged that transaction growth in October is back to its normal historical rate. Outside of Puerto Rico we generated 9% year-over-year revenue growth in our payments business in the third quarter. As our results indicate demand for our card product and POS processing solutions remain solid throughout these markets. While at the same time, we continue to benefit from high levels of transaction growth driven by the ongoing cash to card tailwind and strong economic growth. Looking forward, we continue to see significant opportunities for growth in our payment systems. Our pipeline for new business remains strong, and we continue to win new customers and further expand our relationship with our existing customers. And we are making substantial progress on our initiative to expand into newer markets such as Columbia. Let me provide you an update on our progress we’re making in Columbia. I’m pleased to announce that late October we successfully brought our first Columbian processing customer onto the platform. This is a significant milestone in our Columbian expansion plan. The starting up of the processing business, along with the Visa Principal Member License, will allow us to grow over the coming years in an attractive and expanding Colombian market, in both the payment processing and the Merchant Acquiring businesses. As we’ve said consistently, our aim is to expand in Columbia, as well as other Latin American countries, both organically and through acquisitions, joint ventures, and alliances. Moving to the business solutions segment, our business solutions revenue decreased 2% year-over-year in the third quarter. Similar to the first half of the year, business solutions growth was affected by lower levels of hardware and software sales versus last year. Excluding hardware and software sales, business solutions revenue grew 3%, consistent with our earlier 2014 results, and our expectation for the business in general. Overall we continue to see good demand for our reoccurring business solutions products and services, such as IT consulting and core bank. Turning to our full year 2014 outlook, we continue to expect adjusted net income per diluted share to be in the range of $1.65 to $1.71. However, based on the continued low levels of hardware and software sales in the third quarter, and the number of hardware and software related projects, we expect to deliver in the fourth quarter. We now forecast consolidated revenue for 2014 to increase approximately 1% to 2% versus last year. EVERTEC continues to benefit in the market from our comprehensive set of end-to-end processing solutions, leading brand and solid execution. We continue to develop strong multi-year relationships with new customers, and broaden the relationship with our existing customers throughout our Latin American footprint. We feel good about the long-term outlook for our business, demonstrating our confidence in our long-term growth prospects, and our commitment to enhancing total shareholder value. In September, we announced a new $75-million stock repurchase program, which Juan will discuss with you in more detail shortly. In summary, we faced some challenges in the third quarter, but our results continue to reflect the strength of our diversified business model. We made solid progress on our growth strategy in Columbia and will continue to position EVERTEC for accelerating growth in that market. Moving forward, we will remain focused on leveraging our competitive advantages to capitalize on the strong secular growth in our Payments markets and win share. In addition, we will accompany our organic growth, with investments that add to our current business and expand our geographic footprint. With that, I’ll turn the call over to Juan.
Juan Jose Román-Jiménez: Thank you, Peter, and good afternoon, everyone. I will begin by providing a detailed review of our third quarter financial and operating results, and then conclude with an update of our 2014 guidance. Total consolidated revenue was $88.6 million in the third quarter, an increase of 1% compared with $87.4 million in the prior year period. Merchant Acquiring net revenue increased 6% to $19.2 million from $18.2 million in the prior year period, driven mainly by an increase in transaction volume. Payment Processing revenue increased 4% to $25.6 million, up from $24.7 million in the prior year period. Growth was driven mainly by an increase in our card product business, resulting from new customer additions and more accounts on file in our Latin American operations and an increase in POS network and processing transactions. Our payment-related businesses outside of Puerto Rico, continued to grow at a solid pace in Q3, up 9% compared with the prior year period, driven mainly by card product processing. Our Business Solutions segment revenue decreased 2% to $43.8 million in the third quarter, compared with $44.5 million in the prior year period. This decrease was due mostly to a decline in hardware and software product sales in the quarter, partly offset by increased revenue in core banking solutions and IT consulting services. In the third quarter, revenue from hardware and software sales decreased by $1.9 million compared with the prior year period. Excluding the hardware and software sales, Business Solutions revenue grew 3% year-over-year. Moving to expenses. On a GAAP basis, our third quarter total operating expenses were down approximately 5% compared with the prior year period. Cost of revenue excluding depreciation and amortization was $38.6 million, essentially flat with the corresponding 2013 period. Selling, general and administrative expenses for the quarter were $7.1 million, down $1.9 million or 21% for the corresponding 2013 period. This decrease was due mainly to a non-recurring 2.5 million expense, taken in the third quarter of 2013 in connection with our September 2013 secondary offer. Depreciation and amortization expense decreased 1.2 million or 7% year-over-year to 16.5 million. The decrease is related primarily to lower depreciation and amortization of assets that have become fully depreciated. Income from operations for the third quarter was 26.5 million, an increase of 21% compared with 21.9 million in the corresponding 2013 period. Total non-operating expenses were 6.3 million, an increase of 0.6 million or 10% from the corresponding 2013 period. The increase was mainly due to a non-cash expense of 450,000 related to the purchase accounting attributable to certain customer service and software-related arrangement, whereby EVERTEC received investments from Popular. GAAP income tax expense in the third quarter, was approximately 1.1 million, versus 1.4 million in the prior year period. Cash income tax expense was approximately 0.3 million, down slightly from 0.37 million in the prior year period. We expect cash income taxes to remain at similar levels for the fourth quarter. As of September 30, 2014, we had approximately $47 million of NOLs available to offset future tax payments related to our operations in Puerto Rico. Adjusted EBITDA for the third quarter was 44.5 million, an increase of 3% from 43.4 million in the corresponding 2013 period. The increase in adjusted EBITDA was due primarily to revenue growth and operating leverage in our Merchant Acquiring, and Payment Processing businesses. We continue to deliver superior adjusted EBITDA margins, reflecting the strength of our business model and ongoing focus on managing costs. Adjusted EBITDA margin was 50.2% in the third quarter compared with 49.7% in the prior year. Finally, adjusted net income in the third quarter was 31.4 million, up 6% from 29.5 million in the prior year and adjusted net income per share was $0.40, up 11% from the prior year, reflecting higher net income and lower average diluted share count. Moving to our balance sheet, as of September 30, we reported 29.2 million of unrestricted cash and 679.1 million of total short-term borrowings and long-term debt. During the quarter, we made a mandatory repayment of approximately 4.5 million on borrowings outstanding under our Term A and Term B senior secured credit facilities; paid 15 million on our revolver line of credit, and paid dividends of 7.9 million. As of September 30, total liquidity, which includes unrestricted cash and available borrowing capacity under our revolver, was approximately 121.2 million. We continue to generate strong quarterly free cash flow. For the third quarter, our free cash flow defined as adjusted EBITDA minus CapEx, cash interest expense and cash income taxes, was $31.9 million compared with $32.8 million in the prior year, the slight decrease in free cash flow was mostly due to timing of CapEx. Moving to our recently announced share repurchase plan. In late September, we initiated a $75 million stock repurchase plan to be executed over a 12 month period. Through October 31, we have already bought back $25 million of our common stock, or approximately 1 million shares supported by our strong free cash flow generation and significant balance sheet flexibility. Finally, we remain committed to the prudent return of capital to shareholders. This afternoon we announced that our Board of Directors declared a regular quarterly dividend of $0.10 per common share. Now on to our guidance. As Peter mentioned, we now expect total revenue growth in 2014 to be between 1% and 2% compared with our prior outlook of 3% to 4% growth. Our updated revenue guidance reflects greater risk to the hardware and software portion of our Business Solutions segment. We continue to expect adjusted EBITDA growth of at least 100 basis points, higher than our revenue growth rate and fully diluted earnings per share of between $1.65 and $1.71. We expect full year 2014 operating depreciation and amortization expense of approximately $30 million, cash interest expense of approximately $23 million and fully diluted shares of approximately $79 million. Finally, we expect 2014 cash income tax expense of $1 million and our 2014 effective tax rate outlook on a GAAP basis, remains between 10% and 12%. With that, operator, we will now open up the call for questions.
Operator: [Operator Instructions]. And we’ll take our first question from Bryan Keane with Deutsche Bank.
Ashish Sabadra – Deutsche Bank: Hello. This is Ashish Sabadra, calling on behalf of Bryan Keane. Just want an update, Juan, on the consumer weakness or consumer spending weakness that you saw in August and September. Can you just let us know how much already that have seen in the US processing transactions, how much did it drop-off in August and September? And then just going forward, can you just comment on your comfort around consumer spending sustaining at the October levels? Thanks.
Peter Harrington: Alright. So we had a normal July, okay. So July was in line with how we’ve been performing for the first six months of the year. We saw a slowdown in consumer spending in August, the beginning part of September, and then we started to see it turn back in the direction it’s been. And as I said on the call, early look at the numbers for October puts it back in line with what we’ve been seeing for the last couple of years. And we verified, you can look at some of the other numbers that are out there, and it looks like it was across-the-board in Puerto Rico. And again there’s been a lot of noise, there was a lot of noise in that timeframe, which we think shook consumer confidence for a little bit. Most of that has now waned and is being dealt with and we see it going back to where it was. So I’m very, very comfortable now that we will finish the year in line with where we’ve been operating for the long-term.
Ashish Sabadra – Deutsche Bank: Okay, that makes sense. And just so that we can model the fourth quarter appropriately, should we expect, given the fact that transactions have ramped up, should we expect acquiring in payment processing business to deliver more normalized revenue growth, are there any other puts and takes going into that quarter?
Peter Harrington: No, we see it more on a normalized basis. There’s nothing else – there’s no other puts and takes.
Ashish Sabadra – Deutsche Bank: Okay, that’s helpful. My final question is on international. International has been slightly weak in second and third quarter 10% compared to 15%, but should we see an acceleration in international going forward as you ramp up the Colombian customer?
Peter Harrington: That’s correct. Yes.
Ashish Sabadra – Deutsche Bank: Thanks. That’s it from me.
Operator: And we will take our next question from Bob Napoli with William Blair.
Bob Napoli – William Blair: Hi, good afternoon.
Alan Cohen: Hi, Bob.
Bob Napoli – William Blair: Alan, welcome to the team.
Alan Cohen: Thank you.
Bob Napoli – William Blair: A question just on your strategy, Peter, in Columbia. It’s obviously is a very big focus for you. It’s the market that has the potential to be large. What is the operating strategy there and how many years is it going to take to make that a meaningful contributor to the business?
Peter Harrington: Well, I think that today what we announced is really a major milestone for us, Bob, right. So to grow the company organically we needed to have the platform operating in the market. And now we have the platform operating, we have a customer up on the platform. We can now go through the normal process that we have in all of our other markets which is aggressively sell new customers in the market. We are in a better position today with the visa license to go after the acquiring as we talked about before and we’ll continue to look for partners to exploit that to be able to get to the acquiring business. So we should see revenue obviously in 2015 where we saw really no revenue in 2014. So yes, it should start to have a bigger impact beginning next year, not just in the future and obviously continue to grow over time.
Bob Napoli – William Blair: Is that like a couple million dollars potentially of revenue next year or can you put any kind of?
Peter Harrington: As you know Bob, we try to stay away from giving revenue per country.
Bob Napoli – William Blair: Then maybe just following up on the last question, the non-Puerto Rico revenue growth slowed from 10% to 9% and I think certainly you are targeting at least mid-teens I think in that. Do you see a pick – was there some – did you see the same kind of slowdown in spending non-Puerto Rico that you did in Puerto Rico on August and September or is there any color?
Peter Harrington: No, we did not see the same slowdown in the markets outside of Puerto Rico. Some of it is just as I’ve said before it’s the timing of when customers come on. I will give you some insight because I probably get ask the question but the sales of new customers, okay is right in line with where we expect. And to give you some specifics we signed three new customers in the third quarter and we’ve already signed two new customers since the beginning of the fourth quarter.
Bob Napoli – William Blair: Okay. In what markets?
Peter Harrington: In multiple markets.
Bob Napoli – William Blair: Okay, all right. Just last question, besides is the strategy going to be here to really put a lot of focus on Columbia or should we expect you to enter another new market in 2015?
Peter Harrington: As I’ve always said, once we got into a position where we had momentum in Colombia we would look to the next market. I think you can take away from that that we’re getting closer every day to that point especially now that we have the platform operationally in Colombia. We will probably in 2015 seriously start looking at what the next market is.
Bob Napoli – William Blair: Thank you.
Operator: And we will take our next question from Tien-Tsin Huang with JPMorgan.
Tien-Tsin Huang – JPMorgan: Hi, thanks. Can hear me okay. I am at the airport. Just wanted to ask on the hardware and the software slippage, you covered that from the past is that – do you expect it to pick back up again at ‘15, is it just a push out or these projects getting canceled or shelved?
Peter Harrington: I think in the environment we are in, I think the reality is we’re not going to see it – we are not going to see all pushed to 2015, that’s not the case. So I think we’ll probably have a better year in 2015 than we did in 2014 from hardware and software, but it’s not going to be a dramatic change in the number retention. We’re going to – as we’ve said, we don’t focus on selling hardware and software. I think we’re going to continue not to focus on selling hardware and software. We are more interested in the recurring revenue. And I think the results show that the recurring nature of the business is operating exactly as we thought it would, growing 3% on the Business Solutions business this quarter minus hardware and software.
Tien-Tsin Huang – JPMorgan: Right. So this leads to my last question, is it safe to say that – IT spending, I heard the comments on consumer that make sense, just talk about bank spending, take up probably large spending, government spending things like that, how is that – versus planned?
Peter Harrington: I would say there is certainly lower government related spending then we had planned on. And I think under the – where they are today, we don’t foresee that, that’s going to pick up dramatically in the near-term.
Tien-Tsin Huang – JPMorgan: Okay. So basically what we’re seeing now is probably a good level to assume going forward. The last thing just on the buyback thanks for the detail there – does the guidance to assume incremental buybacks?
Juan Jose Román-Jiménez: No, Tien. Right now – it’s already spending 5 million we might do write, it will depend on market conditions. But our assumption is basically the purchase that we did in October. The program is in place and we will keep looking into when to access the market and do more buybacks.
Tien-Tsin Huang – JPMorgan: Okay, so no incremental buybacks, that’s good. So is that 10b files in place or is it purely opportunistic?
Juan Jose Román-Jiménez: It’s opportunistic.
Tien-Tsin Huang – JPMorgan: Okay, that’s helpful. Thanks guys. That’s all I had.
Operator: We will go next to Sara Gubins with Bank of America.
Sara Gubins – Bank of America: Hi, thanks. Good afternoon. In the Merchant Acquiring segment, I know that you start anniversary the gains from adding BBVA branches in the fourth quarter but what’s the likely impact on revenue growth in that segment?
Peter Harrington: It’ll certainly be less than you saw in the first two quarters. As we’ve said it’s adding like maybe 1% give or take 1% to what we are running at in the first two quarters. So probably somewhere as we’ve always said, somewhere in the 6% to 7% range, somewhere in there.
Sara Gubins – Bank of America: Okay. And then, as you think about free cash flow dynamics for next year, just to check, are there any items that are worth knowing about that might have an impact on 2015 free cash flow?
Juan Jose Román-Jiménez: Not really, Sara beside the buyback program, obviously, that we have in place, nothing else. As we said before, cash flow focus is any expansion or acquisition and after that, as we said – or paying down debt or a buyback. And right now we have the program in place. So that’s why you think about is that we will continue to use our free cash flow for an expansion or to continue our buyback program.
Sara Gubins – Bank of America: Okay. And then just last question, what’s the cash balance on hand after the recent share purchase? And is any of that located outside the U.S. and therefore might be taxable if you needed to repatriate it?
Juan Jose Román-Jiménez: We do have cash outside Puerto Rico, yes, in our operations in Costa Rica. And if we move it – it would be taxed if we pay a dividend from those subsidiaries. We have not paid any dividend, because we keep that cash in those subsidiaries for our expansion in Latin America. Just to continue doing – operating our business but also for any possible acquisition most probably will be done out of the cash in Costa Rica.
Sara Gubins – Bank of America: Great. And then just the overall cash balance at the end of October after the share repurchase?
Juan Jose Román-Jiménez: We’re – I don’t have the number with me really, but probably it’s around 20 million.
Sara Gubins – Bank of America: Okay, great. Thank you.
Operator: And we’ll go next to George Mihalos with Credit Suisse.
Allison Jordan – Credit Suisse: Good afternoon. This is Allison Jordan in for George. I had a question on what the revenue growth in Puerto Rico was for the quarter and how does that compare to the growth rate in the first half of the year?
Juan Jose Román-Jiménez: For Puerto Rico, well, you have to exclude, again, hardware and software sales, but our Payment businesses are growing around 5% give and take. And as we said, in the Business Solution around 3% when you exclude hardware and software sales.
Allison Jordan – Credit Suisse: And so that 5% of Payment business in the quarter, how does that compare to the first half of the year?
Juan Jose Román-Jiménez: It was faster at the first half. As we mentioned, mostly we saw an increase in Merchant Acquiring, because we have the addition of the merchants from BBVA. We saw that in the first half also higher POS transactions, as Peter mentioned before. So ARIN Oriental really is probably in the 6%, 7%, our Payment businesses.
Allison Jordan – Credit Suisse: Great. Thank you.
Operator: And we’ll take our next question from Smitti Srethapramote with Morgan Stanley.
Unidentified Analyst: Hi. This is Daniel [indiscernible] calling in for Smitti. Just a couple of high level questions. I guess, Visa is going to be raising prices for acquirers in the second quarter next year. So could you share with us your thoughts on the potential to raised prices to merchant above and beyond Visa’s increase?
Alan Cohen: We – first you got to remember that in Puerto Rico, for example, which is where you’re talking about the acquiring business, the majority of transactions are ATH and so has – the Visa has absolutely no impact on ATH. So the impact is going to be very minimum to us.
Peter Harrington: Pass it on…
Alan Cohen: Yeah, right. And we pass on most of that as it is. But it’s not – today I think we – about 11% or 12% of the transactions are Visa.
Peter Harrington: Yeah. They do this often. It’s not new news. They often…
Unidentified Analyst: Okay, thank you. And then maybe if you could just touch on the alliance front in Panama and Costa Rica and if there are any updates there?
Peter Harrington: No, there’s nothing we can talk about at this point. We are still actively searching for partners.
Unidentified Analyst: Understood, thanks.
Operator: And we will go next to James Schneider with Goldman Sachs.
James Schneider – Goldman Sachs: Good afternoon. Thanks for taking my question. Just a follow-up on the consumer trends within Puerto Rico for a moment. Is there anything you saw in terms of mix of transactions was there was ATM, debit or credit mix that would suggest to you what might be going on back in August and September aside from just consumer confidence and the tax impact. And related to that, can you see anything on the horizon in terms of tax actions in 2015 from the government that would kind of cause a potential dislocation like the one you saw for about a month and half?
Peter Harrington: To your first question, no, there wasn’t any – it was across the board. So we looked at the numbers and nothing jumped out that one stayed the same and something else really moved dramatically. They all – we saw it in slowdown in ATM and we saw it in debit, we saw it in credit. At this point there’s nothing that I’ve seen from the government related to new taxes that would have any impact. But the – their fiscal year ends in June 30th, 2015, and so it would be more likely that it would be closer to that date. But any new taxes – if there were any, would be announced. But right now we don’t see any.
James Schneider – Goldman Sachs: Yeah that’s helpful. Then just kind of a follow-up, it sounds like you didn’t see much change in terms of the transaction growth rates outside of Puerto Rico, but are there any areas whether that’s Costa Rica or Dominican Republic or any place else that saw kind of a notable strengthening or weakening outside of Puerto Rico?
Peter Harrington: No. I think it always changes based on the customers. Right? So where I bring a customer on – if I bring two customers on in Mexico for the sake of argument this year over lax year, I’m going to see higher growth in Mexico this year. If next year I’d bring on more customers in Costa Rica than in Mexico, it moves on an ongoing basis. So, overall, we are seeing sales growth in multiple markets within our footprint and we are seeing the kind of fundamental secular cash to card transaction growth in all of those markets.
James Schneider – Goldman Sachs: Okay, so no difference in same-store sales kind of metrics, okay. And then I guess last one would be just on SG&A levels. Do you have the potential to – if we had another rough patch to ratchet those down further to kind of help cater or given some margin on the EPS line or do you – pretty much running at levels that you think are close to the minimum level at this point today?
Juan Jose Román-Jiménez: Well, in the past three years, right, we have been making significant progress reducing our cost base. Obviously, we maybe had less of those opportunities that we found when we got here. There have been some areas that we continue to look at, especially, what have to do with software negotiations or purchases. Especially, we look into how to consolidate certain software, so you can achieve some efficiencies. So we continue to look into that impact mostly because of revenue, right, more than SG&A. But that’s probably – that’s where we are today looking for other opportunities to consolidate or reduce costs in those areas that as you can imagine are a significant part of our cost.
James Schneider – Goldman Sachs: Thank you.
Operator: [Operator Instructions] And we’ll go next to Chris Brendler with Stifel.
Chris Brendler – Stifel: Hi. Thanks. Good afternoon, guys. How are you doing?
Peter Harrington: Good. How are you doing, Chris?
Chris Brendler – Stifel: Good. Thanks. So on a, couple of questions on the international front. Peter, I think, last quarter, you chalked up the deceleration from mid-teens down to kind of 7% a little bit of lumpiness the timing in and out or flat with that number –. Is there any like – were there contract wins that you anniversary in the second quarter or third quarter that has caused the international growth to slow down? Is there any currency impact that’s weighing on the international growth?
Peter Harrington: No. There’s no currency issue, Chris. So it’s – just for the timing of lapping last year’s implementations to this year’s implementations. So – I don’t see anything – we don’t see any kind of slowdown there. It’s just timing. This is going on for the last eight or ten quarters. It changes on a quarter-by-quarter basis. But we’re not saying anything in that, if anything, as I said earlier, we feel very comfortable because we’ve signed like five new clients in the last four months, which is a very good pace for us.
Chris Brendler – Stifel: Right. So I think it doesn’t sound like it probably didn’t, little bit reluctant to quantify the impact of the Colombian processing or any other deals. I mean, is it reasonable to expect that that 9%, 10% growth outside of PR is going to increase over the next couple of quarters?
Juan Jose Román-Jiménez: Yeah, over 10.
Peter Harrington: Yeah. Well, you should see it in the fourth quarter higher than 10%.
Chris Brendler – Stifel: Okay. Great. That’s good. And then just some longer-term you – question which was same on last quarter like the goal here was to get to a much higher mix of revenues outside of PR. I think you had a five-year plan of 30%. Is that still reasonable? I mean, it’s definitely taking longer, but the last time we met it sounded like the longer-term or medium- to long-term you’re still optimistic here. It’s just taking a little longer. Is that still the case?
Peter Harrington: It is. I mean – and again, as we’ve said before, it will be dependent upon transactions, joint ventures and partnerships that we do because those are all outside of Puerto Rico. That is going to be what is going to help drive that additional growth.
Chris Brendler – Stifel: Right. Okay. Great. Looking forward to the increases. Thanks so much.
Peter Harrington: Thanks.
Operator: And that does conclude the question-and-answer portion of today’s conference. I would now like to turn the call back over to Peter Harrington for comments and closing remarks.
Peter Harrington: Thank you. All right. I just wanted to say thank you very much for your support, and I look forward to speaking with you again on our year-end earning call. Operator, you can now conclude the call.
Operator: And this does conclude today’s conference. We thank you all for your participation.